Operator: Ladies and gentlemen, thank you for standing by and welcome to the Las Vegas Sands Fourth Quarter 2019 Earnings Conference Call. At this time, all participants lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, speaker Daniel Briggs. Thank you. Please go ahead, sir.
Daniel Briggs: Thank you, operator. Joining me on the call today are Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we are making under the safe harbor provision of federal securities laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides on our Investor Relations website. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the question-and-answer session, we ask that you please respect our request to limit yourself to one question and one follow-up question, so we might allow everyone with interest the opportunity to participate. Please note that this presentation is being recorded. With that, let me please turn the call over to Mr. Adelson.
Sheldon Adelson: Thank you, Dan. Good afternoon, everyone, and thank you for joining us today. We had a great quarter and a great year across all our markets. Company-wide adjusted property EBITDA for the fourth quarter was USD1.39 billion, an increase of 9% over the prior year. Our cash flow generation is unmatched in our industry, with full year 2019 EBITDA of USD5.39 billion. Nobody's ever heard that before in this industry. The capital investment programs in both Macao and Singapore are exceptionally exciting, with over USD5 billion of capital projects, which will be completed over the course of the next few years. These investments will further strengthen our leadership position in the premium mass, mass and non-gaming segments in Asia. Let's now turn to our financial results by the region. In Macao, adjusted property EBITDA was $811 million, USD811 million in the quarter, an increase of 3% over the prior year. In contrast to the 8% decline, that's a 3% increase for us in contrast to an 8% decline gross gaming revenue in the Macao market overall, pretty good. We grew our managed gaming revenues by 3% over the prior year, with growth in both - in non-mass - with growth in both mass tables and slots. Retail sales remained strong, growing by 11% over the prior year. Most importantly, our profitability continues to lead the industry, with EBITDA margin reaching 36.2%, up another 140 basis points compared to the prior year. We couldn't be more excited about our investment of USD2.2 billion to expand our critical mass of non-gaming offerings in Macao. We believe there is no better market in the world than Macao with regard to the continued deployment of our capital. The initial trial results at both the London hotel and the Grand Suites at Four Seasons have been very promising, and we will update you on our progress in the future. We look forward to making additional investments in Macao as we contribute to Macao's diversification and evolution into Asia's leading leisure and business tourism destination. I would welcome the opportunity to invest billions of dollars to expand our hotel entertainment, retail and MICE facilities in Macao. I believe Macao has the opportunity to become the greatest business and leisure tourism destination in the world and the MICE capital of Asia. We stand ready to make substantial additional investments to contribute to Macao's future success. In 2019, over 900 MICE events were held in Sands China's properties in Macao, with the participation from over 900,000 - sorry, 800,000 attendees. This is by far the highest number of MICE events and attendees that are hosted by any operator in Macao. And indeed, we estimate that we represent as much as 90% of the MICE market. Entertainment is another area in which we contribute to Macao's growth and diversification. We continue to lead the Macao market in this respect as it continues its development as the premier entertainment center in Asia. In 2019, we brought 45 different events to Macao in our Cotai Arena, featuring top Asian and western artists. Our leadership in MICE and entertainment are just two examples of our firm commitment to supporting the government's objective to diversify the economy of Macao. Our market-leading investments in non-gaming facilities, including hotel capacity, large-scale retail malls and our themed tourism attractions are designed to attract the widest possible range of visitors to Macao. Having made the largest investment in this economic diversification, we will continue to invest and to work to support the business [ph] for Macao in the future. Excuse me, I've got a cold today. With the opening of the Hong Kong-Zhuhai-Macao Bridge and the progress of the Greater Bay initiatives, we truly believe Macao has the potential to become the MICE and leisure capital of Asia. We fully intend to contribute to that objective through both our existing assets and potential future events. Let me also address another topic, the evolving situation with the coronavirus. The current situation is unique and serious. Our top priority is the health and safety of our employees and guests, and we are doing everything we can to support the government both of Macao and China. Our Sands China team is in close consultation with the relevant health care and public safety authorities in Macao, and we have implemented significant procedures and safeguards. We will continue to implement measures in line with government direction and hope for a swift containment of the virus. Now turning to Singapore. The Marina Bay Sands' adjusted EBITDA was USD457 million. Rolling volumes were strong and was 16% higher than the prior year. Mass win per day remains solid. The hotel continued to do - to enjoy a strong average daily rate and occupancy. At the same time, annualized retail sales per square foot increased to more than USD2,000 per square foot. Singapore's leading tourism infrastructure continues to receive significant investment, and we are excited to be a part of Singapore's continued growth as a leading business and leisure tourism destination as we develop the Marina Bay Sands expansion. The expansion will include a 15,000-seat, state-of-the-art arena for live entertainment events, a hotel tower designed to set a new standard of luxury in the region as well as an additional MICE offerings. We continue to make progress on the MBS expansion and we'll provide additional updates in the future. We will continue to reinvest in Marina Bay Sands to enhance the customer experience in advance of the expansion. Now turning to Las Vegas. Our Las Vegas operations had another great quarter, with adjusted EBITDA of USD120 million, an increase of 20% over the prior year. The hotel convention and slot segments offset yearly [ph] revenue records, leading to a record adjusted property EBITDA performance in 2019 of USD503 million on a whole normalized basis. Regarding U.S.-China trade relations, Phase 1 of the trade deal between China and the United States has been completed. The United States and China coming together to work collaboratively on the future of global trade is good for the U.S., it's good for China and it's good for the rest of the global economy. Finally, we continue to increase the return of capital to shareholders. The dividend remains the cornerstone of our strategy for the return of capital. The net dividend has continued to grow. For 2020, the Board of Directors has increased the dividend by $0.08 per share to $3.16 per share. At the same time, we repurchased USD300 million of stock during the quarter. Yay dividends, yay buybacks. Thanks again for joining us on the call today. Now we'll take questions.
Operator: [Operator Instructions] Your first question comes from the line of Joe Greff of JPMorgan. Your line is open.
Joe Greff: Good afternoon, everybody. Sheldon, good to hear you again. My first question is going to be probably an obvious topic and to the extent you can talk about it. But just with regards to the coronavirus, if there is going to be a lengthy impact at the Suites' visitation and spend both in Macao and Singapore, how do you manage to fix the operating expense there? How much flex is there in both respective markets? And then my follow-up question is relating - looking backwards, relating to Macao in the fourth quarter, if you were to parse through, maybe you look at it because you have monthly numbers that we don't have access to, but how much of an impact do you think Hong Kong protests had versus the travel disruption related to government visit in December? And that's all for me. Thank you.
Robert Goldstein: Hi, Joe, it's Rob. I'll take - I want to take the first part of the question. They are 2 different markets, Macao and Singapore. As you know, Macao visitation based on public reports is down as much as 80%. It's not nearly as dire in Singapore. There has been some adverse impacts but nowhere near the same level of problem in Singapore as Macao has [ph] there. As to our operating, you know our business is revenue dependent. There's no way to hide from the fact we employ tens of thousands of people in these markets. And it's an expensive business to operate. And in the same way operating leverage swings your direction when volumes are good, it swings again too at times like this. And we're going to do our best. We'll do all the paid time off, all things we can do to mitigate but I think it would be silly to think that we can make a material impact on operating costs. They're real. And they -- and that's the problem with these businesses when this kind of thing hits. Having said that, we've been - just before, we've been through a lot of years of problems in Macao and Singapore and Las Vegas when things like this happen, and this storm will pass. We don't know when. We do know at best is we'll be first in line in each of our markets to be the biggest investor, most aggressed in Macao. We've shown our strength in our things of that [ph] market, extraordinary market. When it returns, we'll return with it and do very, very well and keep investing. But I think it would be foolhardy to think we can reduce costs enough to offset what's happening in the - if this 80% decline continues. That's a real problem for any operator. Your second question, I didn't address, but I'm trying to get…
Daniel Briggs: The pace of how October, November and December went.
Sheldon Adelson: Oh, okay. Well, October was a terrific month in Macao, extraordinary month in Macao. It decelerated, as you might imagine, with the visit from the President, as it has in the past, no surprise there. Deceleration really happened in December, I think that's again, predictable. So I guess, you'd look - the month is - the quarter is October extraordinary, November strong and December was soft. No big surprise. I think we'd reflect the market in that respect. A very different place in December than it was in October. And I think that's all I can say on that issue. It's pretty clear to everybody.
Joe Greff: Got it. Thanks, guys.
Sheldon Adelson: Thank you.
Operator: Your next question comes from the line of Thomas Allen of Morgan Stanley. Your line is open.
Thomas Allen: Hi. So just sticking with Macao and focusing on premium mass, you had really strong premium mass results in the third quarter and then they were down. In the fourth quarter, do you think that was just mostly a function of President Xi visit? Or something else going on there? Thank you.
Robert Goldstein: Yes, yes. So let's break it apart. We had a great base mass quarter, I think up at almost 9%, 8.9% or something like that. So base mass, we were - I think our strongest base mass performance in our history, which we were delighted with and that remains a core part of our success. You're right, the premium mass business was not as strong but still not a bad performance. I think what really is happening here, I wouldn't blame on what happened in the market as much as we are under construction in Four Seasons and in Londoner. And I think - as you know, this market is based upon product. Like most gaming, especially Macao, better product wins the day. We're soon going to open up all the suites of the Four Seasons, all the suites of the Londoner by the end of the year and St. Regis. And I'm pretty confident we'll not just be the leader in premium mass but, by far, the leader. I think the success of the other products in the market demonstrates what happens when you build a quality product in Macao, people show up for it. I think our Four Seasons product, which is extraordinary, 290 keys. Base - the size of room between 2,000 and 4,000 feet. St. Regis, equally powerful, and Londoner. I think we're looking at a whole new offering from SCL once these things open up. So I'm very confident our premium mass business will reflect as our [ph] base mass business, strong growth in the time ahead. As you know, we're the biggest investor in Macao, we're the most committed. And these $2.2 billion worth of investments that Sheldon and the Board authorized will pay off enormously in '21 and beyond, and '20 as well.
Thomas Allen: Thanks, Rob. And this is my follow-up. Vegas revenue was really strong, your strongest quarter of the year, but margins were a little light at 25% versus first half is 29%. Was there anything unique going on there?
Robert Goldstein: No, I just think we're seeing a shift to more -- I mean our business, as you know, is driven by - we have a gaming component but the non-gaming is powerful. If we can make $500 million a year in Vegas every year, I'd be okay with that. The margins fall a few points. I think what you're saying is - one thing you should realize that our business is that we are driven - I mean the - forget the rooms and the slot machines and the gaming business but look at our revenues coming out of convention center, almost $200 million this year of revenue coming out of banquets and convention-related services, which is extraordinary. And I think that's becoming more and more indicative where our business is heading. So I would gladly, as we keep going, and I think we will keep going towards $500 million and beyond, I would gladly trade a few points of margin for more growth in non-gaming. Our gaming performance is good. But as you know, visitation from the -- from Asia is not as strong at the super high-end baccarat, which has been one of the strengths of Las Vegas. But again, we're overjoyed [ph] with the $500 million a year. And if we trade a point or 2 of margin here and there, we're pretty happy. Nothing extraordinary, nothing out the ordinary.
Thomas Allen: Thanks, Rob.
Robert Goldstein: Sure.
Operator: The next question comes from the line of Carlo Santarelli of Deutsche Bank. Your line is open.
Carlo Santarelli: Hey, good afternoon, guys and thanks. Sheldon, for the first time that I could recall, at least, you talked a little bit in your prepared remarks about the trade war and, obviously, the signing of Phase 1 of the deal. Is that something - and I don't know with all the other things going on right now in the market that it's - it would have been discernible. But do you feel that was something that maybe has provided a little bit of a governor on results in Macao and something that you're optimistic as the resolution of Phase 1 and potentially subsequent phases play out, you will start to see maybe a better cadence of business across the high end for the market?
Sheldon Adelson: I think that it's the perception that the China - the trade negotiations with China and the contradictions that are inherent there are just perceived. I don't think that they're doing very much. I think people think that if President Trump puts on tariffs on different imports from China that - and then China reciprocates by putting tariffs on the stuff in from the U.S. I talked to my friend, Steven Mnuchin when I was at The White House for the signing of the China trade agreement. And he says that they're moving forward, probably moving forward faster than what the people would expect for Phase 2 of the resolution of the so-called trade war. So although it's perceived to be a problem, it's - in reality, it's not causing much of a problem.
Carlo Santarelli: Understood.
Robert Goldstein: Carlo, I just -- Carlo, it's Rob. Let me jump in and just echo a comment on that. No question, we hear from customers in Asia, the importance of resolution of trade war, especially for entrepreneurs and business people who reside in the provinces in China. I think it's very helpful. The war comes to an end. We'll see more confidence. We'll see more growth in their businesses. It translates across all segments but primarily in the premium mass segment, which is so important to success in Macao. So it's very, very helpful and bodes well for the future of our business and our competitors in Macao.
Carlo Santarelli: Great. Thank you, both. And then just as a quick follow-up. Obviously, the situation right now is difficult to handicap with everything that's going on. But in the event Macao were to decide that maybe the best approach would be to close the casinos temporarily until things stabilize, my understanding is that maybe business interruption insurance wouldn't apply here. Do you guys kind of have a view of how that potentially could play out if that were to be the path this followed?
Sheldon Adelson: Well, I'll ask Patrick to respond to that.
Patrick Dumont: So a -- I appreciate the question. I think right now, it's too early to say. I think each operator has different risk management programs, and so I'm not sure where you have the information coming from. But I think it's something we'll take a look at. Hopefully, that's not something that it ever comes down to. We do have a very robust risk management program here. We're actually one of the largest acquirers of certain types of risk products in the market or in various markets. So I think we're very proud of that. I think we try to protect our balance sheet, try to protect our operations. That being said, I don't think we can comment specifically on the clauses of our policy and the likelihood of that type of event or the coverage that we have but we are prepared. The other thing to note is we're very fortunate to have a very strong balance sheet. We're very fortunate to have liquidity on hand. And I think we're looking to manage through this in the best way that we can and support whatever initiatives from the government that we need to. The other thing is I think in the long run, we're very cautious with our balance sheet, and we expect variability in our markets, and this is something that unfortunately, comes up periodically and we have to deal with.
Carlo Santarelli: Okay. Thank you Patrick.
Sheldon Adelson: I hope we don't have to answer the question. I hope it goes away and resolves quick enough. It's not an issue for us.
Carlo Santarelli: Understood. For sure. Thank you, guys.
Sheldon Adelson: Thanks, Carlo.
Operator: Your next question comes from the line of Stephen Grambling of Goldman Sachs. Your line is open.
Stephen Grambling: Hi, good afternoon. Thanks for taking the question. I guess, one other follow-up on the coronavirus. Is there any way to frame or is there any impact that we should be anticipating as it relates to the construction projects that you have underway now? Or is that still something that we should generally be thinking is on track or regardless of the current disruption can be still accelerated to be on track? Thanks.
Robert Goldstein: Steve, it's Rob. We don't anticipate any slowdown as a result of the virus. Obviously, it depends on what happens in Macao but as we speak today, we saw no indication of all of that. And we're full speed ahead on all of our projects in Macao.
Stephen Grambling: That's great. And then one other quick clarification on Singapore, obviously, very strong results. If you look at your customer database there, is any of that -- or can you tell if any of that is folks that are transitioning out of Macao to - because of the Hong Kong disruption or otherwise? Or what do you think is kind of driving that underlying strength?
Robert Goldstein: Great property and great management. No, I don't think we have it -- we really can't determine...
Sheldon Adelson: Not to mention our good looks.
Robert Goldstein: Yes. We really can't determine that. I think it's -- I think Singapore has always been, for us, a - it's such an interesting place, great country to visit, culturally in sync with the foreign visitation. As you know, the visa - the increased levy entrance has made us pivot more and more towards foreign visitation, and we continue to grow that property in terms of quality of product and entertainment and service to make it more desirable for that customer. So whether - I don't know what - they're pivoting at any place, but I think we want to make that product so damn good that people want to come more often to Singapore. It's an incredible product in so many ways, a great country to operate in, very favorable to foreign visitation. So we're very pleased about it. And I think our strength there, I believe, will continue to grow. I think as we invest more - again, we - our history has always been the same. We invest heavily in the right places. And Singapore is the right place. We're making a huge commitment, both in Towers 1, 2 and 3 as well as our new addition, the Arena, et cetera. So I think our future in Singapore is very bright and that's why we're putting billions of dollars to work there.
Stephen Grambling: Makes sense. That's super helpful. Thanks so much and best of luck.
Sheldon Adelson: Thank you.
Operator: Your next question comes from the line of Felicia Hendrix of Barclays. Your line is open.
Felicia Hendrix: Hi, thank you so much. So Rob, just digging back into the premium mass performance in the fourth quarter. If you look at your premium mass growth year-over-year in like each month of the quarter, would it be fair to say that December was the major driver of the year-over-year decline just because of the visitation decline? And then the - so the low kind of - around the - President Xi's visit? Or was it similar throughout the quarter? And then I was also wondering if there's any way you could share with us how things were going the first 19 days or so of January prior to the outbreak?
Robert Goldstein: Sure. To your question, December clearly was the problem child in the end of the quarter. I think that's true of all of our competitors in the market as well. Now it was a great October, we thought we were heading for a massive quarter and then it slowly declined as the quarter went on. As for the - we didn't see any effect from this virus. The first 21 days was a pretty - if this call had been a week or 2 ago, it would be a whole different type of conversation. But very strong in January. I think the market was strong, visitation was good. So it's a real comeuppance to have this whole thing, the visitation being down, I think it's 80% market-wide at this point. But there was no signs in early January of this disruption. It's a recent occurrence.
Felicia Hendrix: Yeah. And can I - and I know you guys focus - is mainly on the mass side. But just within those first 21 days, did you see any like change in behavior on VIP? Like is there any reason why we should think once we get past this outbreak and all the kind of stuff that you could - we could see some improvement in VIP year-over-year?
Robert Goldstein: Yeah. Felicia, we don't get into that. We don't want to break out the first 21 days other than say visitation was strong and it reflected more of a fourth quarter trend. VIP, as you know, is an enigma. We don't know when it gets better. I've been wrong so often, particularly its demise, I won't make that mistake again. I think VIP will resurrect. I think Sheldon's comments about the trade war are indicative of the market that the entrepreneurs who populate the VIP segment, be it junket or an ongoing [ph] direct are influenced by their businesses and their success. And I think there's a day in the future where premium mass will blossom, keep blossoming, but it's more product-driven. I think the trade wars resolution will be very helpful in China and very helpful for Macao in general.
Felicia Hendrix: Okay, great. Thank you so much.
Sheldon Adelson: Thank you.
Operator: Your next question comes from the line of Shaun Kelley of Bank of America. Your line is open.
Shaun Kelley: Hi, good afternoon, everyone. Thank you for taking my question. So just to go back to the coronavirus and a few of the prepared remarks, Sheldon, I think you mentioned that there - you're implementing measures in line with government policies. You - could you just give us maybe a little bit better sense of what some of those policies or contingency planning looks like at this stage? I mean, again, I think we all know they stopped short of ordering full closures. But just kind of what's the interaction been with the government? And how are they kind of helping to smooth over [ph] and work with you on the situation right now?
Sheldon Adelson: Well, the government wants us to measure the temperature of the visitation and to see if there's anybody that's got the virus. And they requested that we put masks on all our dealers, everybody in the casino, we've done that and whatever else, whatever other details.
Robert Goldstein: That's -- Sheldon's right. Across the board, all of our employees now have masks in all the areas. And to Sheldon's point, screening is part of our business now today. And Wilford and Grant and the team are in constant contact with the government. We speak daily. And the government - we - our job is to protect our employees, our team there and to help the government every way possible to be good corporate citizens in respect to people of Macao, respect to people of China and be as contributory as we can to the resolution of this crisis. And we've done that. We're there. We've actually -- we're looking into our contribution, a monetary contribution into helping into China and Macao, protecting our dealers. So that's job one, and we are in constant communication to mass...
Sheldon Adelson: When I walk in here, I take one in a - in an operating room [ph]. Everybody's got masks.
Robert Goldstein: Yeah. It started with dealers, but then we went to everybody and masks are in short supply. We're trying to get more supplies to make contributions. And Sheldon and the family have asked us to look into what else we can do to help Macao recover and help the government.
Shaun Kelley: Great, thank you. Thank you for the color. And then just as my follow-up, but just switch gears a little bit. The -- obviously, there's been plenty of questions about the impact on just the financial performance from President Xi's visit, but it felt like a pretty big policy shift that he really, I think, shined a pretty positive light on Macao's future role. Could you just give us maybe a little bit more color on your take on kind of how that commentary went? Any conversations with the new Chief Executive, just how the -- just general tenor of policy is moving forward with Macao under the -- kind of the new administration? That would be great.
Robert Goldstein: We - so we don't - I'll say this. We've been there for what? 18 years, 19 years. And I think Sheldon's contribution, this company's contribution is a - as the biggest investor in Macao speaks for itself. We are - we're raging bulls on Macao's future. We think the last 20 years were great. We look forward to being the biggest investor in the next 20 years. And our goal is to invest billions of dollars in Macao. We have had conversations with the government repeatedly about our desire to invest heavily to make Macao everything it can be. It's already the most important city in the world, in the gaming world. We want to see it become the most important city in the MICE, leisure destination business. We like to see more families, more kids, more everybody. And that takes more rooms, that takes more MICE space, that takes more retail, more leisure activity. This city has the potential, with the airports and the bridge, the infrastructure to become the most visited city in the world. It could happen. It had the rooms, the demand is there. The supply has to grow.
Sheldon Adelson: We had 40 -- 39-point-something, almost 40 million people come in, in 2019.
Robert Goldstein: Yes. I mean Sheldon's been very vocal about his willingness to invest heavily. He -- we've spoken with the government over the years about that. There's no surprise that we feel. And as the authors of the current - the Cotai success story, I think Sheldon has listened to pretty well. We can't speak to what the government plans to do. We don't know. We simply wait for their advice and their direction and we adhere to that. But we've been very vocal on our willingness to invest. We want to see Macao reach full potential. I think that Macao is - it's in its infancy. Vegas, in the mid-'90s, we built The Venetian was considered a mature city. And it turns out, the next 25 years are way better than the first 25 years. I think Macao is in that same point where as good looks today, Macao has so much potential to do so much more. And we have been raging components of that city's growth and that city's maturation beyond gaming into a non-gaming destination. That's our hope. That's our desire. We await the advice and direction of the government, but Mr. Adelson and the Board is excited to invest in Macao's big, big future.
Shaun Kelley: Thank you very much.
Operator: Your next question comes from the line of Robin Farley of UBS. Your line is open.
Robin Farley: Great. Thank you. I wanted to ask about Singapore, just thinking about how -- I wonder if some of that increase was helped by the slowdown in Macao in December. Can you quantify or just in some ballpark term, was the December increase in Singapore up a lot more than the other months in the quarter?
Robert Goldstein: I missed the last part, Robin, but I don't think we can quantify. It's very hard to sit there, very honestly, and tell you that the downturn in Macao drove customers into Singapore. I think what drives people into Singapore is Singapore. It's a very desirable destination. It's a very desirable building. We think we can continue to grow foreign visitation. We continue to invest heavily in making the product better in terms of service and quality of room. So I don't look to Macao's demise to help Singapore's growth. I think...
Robin Farley: And I didn't mean - I just meant there was - to some degree, was the month of December in Singapore up more than October and November were?
Robert Goldstein: We don't want to break it out, but I think we'll treat the quarter as a whole. I don't think - I wouldn't break it out. I wouldn't do it anyway, but I don't think you need to. The quarter was solid across the board. It was - Singapore had a nice, solid, rolling business, an ongoing business, a strong visitation. It's just a good month, a good quarter in Singapore across the board. I don't think Singapore - you might look at - obviously, as this virus continues, that might be an interesting thing to look at the future. But we believe Singapore, unto itself, is a powerful product in a powerful country that will prosper and grow as we reinvest heavily in it.
Robin Farley: Okay.
Sheldon Adelson: Look at the mall in Singapore. If that mall were in the United States, it would be the highest grossing mall in the country. $2,000 a foot. Now we have a mall in the Four Seasons in Macao that does like $5,000 a foot in U.S. dollars in sales. So it's been around the other malls on Orchard Road.
Robert Goldstein: As well as we've done over there, we think there's a lot of room to grow, though. We honestly believe we can do a lot better in Singapore and that's why we're investing in the future of Singapore.
Robin Farley: Okay, thank you. And then just my follow-up question, and I feel like Dan is going to say the answer to this is buried in Slide 84 or something that is like hard to get through all in 10 minutes before the call starts. So...
Daniel Briggs: We apologize for all the trade news [ph].
Robin Farley: Well, no, no. I -- it's great. But I hope if it is buried in there that you'll be kind. But the question was just thinking about the pace of the quarters this year and the potential disruption at the Londoner, just how should we think about like when to expect like maybe more disruption versus less disruption in the quarters? And actually is a slower environment right now, a time to accelerate some of the disruption and say, "Let's get that out of the way?"
Sheldon Adelson: That's a great - the second part of your question fascinates me. I am curious if there's an - we don't have the answer today. But I've asked the team to explore that very question. Is there a chance to accelerate construction process in Macao during this slowdown? I don't know the answer to that. So I won't represent. I will tell you, having been there a couple of weeks ago in the Londoner, walked through it, it was comical. And I thought of people on this call as I walked through dust and jackhammers and construction everywhere and the customers and staff, the multitude [ph] playing like crazy. And I did laugh myself. I said, "I feel like I'm making up a bad story here to say disruption will happen. I think it will happen. I just don't understand why people keep coming. I guess the rooms are so valuable. We're right now in the middle of building 10 new restaurants, we're in the middle of blowing up a casino over there and redoing it, in the middle of - all the Londoner rooms are in construction, St. Regis. There's a lot of people in that building working on it to make it disruptive, and yet, they're not being disrupted. We keep getting visitations. The quarter was very, very good. And I hope I'm a liar and wrong that this market will eventually stop coming to the SEC as it transitions into Londoner. However, having been there and saw with my own two eyes, I had to stop and chuckle, how busy it was and the rooms remain -- again, Macao is underserved from a lodging perspective. You realize that when you walk to Londoner, you realize people are sleeping manner. They're not necessarily coming for the properties. It's not a destination property, but they're sleeping there and they're gambling there. And it's just extraordinary to watch. If that building were in Las Vegas, there wouldn't be a soul in there. But in China, it was a much different story. So we continue to tell you, when you build a brand-new casino, brand-new facade, redo 1,200 keys, build the St. Regis, rip the facade off, someday, there will be some disruption. I just don't know when.
Robin Farley: Okay. That sounds great.
Robert Goldstein: I know Dan is going to address that. Dan would have had a slide, but we didn't think of that.
Robin Farley: Thank you.
Robert Goldstein: All right. Thank you, Robin.
Operator: Your last question comes from the line of Jared Shojaian of Wolfe Research. Your line is open.
Jared Shojaian: Hi. Good afternoon, everybody. Thanks to return. In terms of the visitation declines, are you seeing that more on the mass side or the VIP side? And then for my follow-up, I know the coronavirus is quite unique. I don't know if there's any precedent or anything historically that would suggest, call it, onetime interruptions normally lead to pent-up demand. Is that something you're thinking about? Thank you.
Robert Goldstein: Sure. Two things, we cannot -- at the level of visitation decline we're experiencing, I think it would be silly for us to break out. If all 80% of the market, it's -- every segment's being affected. Let's not be - let's not try to be cute about this. It's across the board. Every segment is in decline for every property. There's no way to be any more honest than that. As for pent-up demand, I'm a big believer in pent-up demand. The fact there - and in fact, this is killing Chinese New Year, so I think we'll - when this does resolve, whether it's next month or next quarter - I don't know when it will resolve. I don't want to pretend to know. There's a very good article in the journal today about the history of these viruses in the last 60, 70 years and they get solved. With the Hong Kong flu, the Russian flu, the Asian flu, the flu I had when I was 12 years old, they resolved. And they will resolve this time, whether that's February or March, I don't know. But when it does resolve, Macao's going to be very, very, very busy because whether you know it or not, these folks like to gamble. And we have the biggest and best properties in Macao. They will come back in force. And it's a very, very wonderful market. We're delighted to be there. It's a very strong government that we like working with, and I think the brighter day will come very quickly for Macao. We just don't know when that happens. But you can count on pent-up demand. Believe me, you - there will be a lot of people there the day that virus is resolved, and we'll be happy to serve them and welcome them back. So it's a fair question, a good question, and I have a very strong answer. Yes, pent-up demand's a real issue in a place like Macao.
Jared Shojaian: All right. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.